Operator: Welcome to the Gjensidige's Quarter 4 2024 Results Presentation. My name is Caroline, and I will be your operator for today's event. Please note, this call is being recorded. [Operator Instructions] I will now hand over the call to your host, Mitra Hagen Negård to begin today's conference. Thank you.
Mitra Negård: Good morning, everyone, and welcome to the fourth quarter presentation for Gjensidige. This is Mitra Negård, and I am Head of Investor Relations. As always, we will start with our CEO, Geir Holmgren, who will start with the highlights of the quarter; followed by our CFO, Jostein Amdal, who will run through the numbers in further detail. And we have plenty of time for Q&A after that. Geir, please.
Geir Holmgren: Thank you, Mitra, and good morning, everyone. Let us turn over to Page 2 for comments on our fourth quarter results. The profit before tax was NOK 1.605 billion. I'm very pleased to see that our strong efforts to improve the results are gradually coming through. The general insurance service result was NOK 1.670 billion, significantly up year-on-year, thanks to continued strong growth, comprehensive measures and improved profitability. Insurance revenue increased by almost 12%. The combined ratio declined to 83.3%, reflecting improvements in both the loss and cost ratios. Our investments generated returns of NOK 208 million, contributing to delivering a return on equity of 22.7%. Jostein will revert with more detailed comments on our results for the quarter. Turning to Page 3 and looking at the year as a whole. We delivered a pretax profit of NOK 6.823 billion. We generated strong revenue growth of 11% last year. Our combined ratio improved by 1.1 percentage points to 86%. This reflects robust operations and good progress in our cross-border measures to further enhance efficiency in distribution and claims handling processes. I'm very pleased that we have brought our cost ratios further down to 12.3% for the year. However, the elevated motor claims frequency and severity in Norway continued to put pressure on profitability, preventing us from delivering on our combined ratio target for the year. I am confident that our ongoing strong pricing measures will continue to improve profitability. We have a strong capital base. Our solvency ratio at year-end 2024 was 185% at a higher end of our target range. Investment returns for the year were good which, together with the results from our Pension business, contributed to our return on equity of 22.7%. Let's turn to the next page for a few comments on the proposed dividend. Our Board has proposed total dividends of NOK 5 billion for the year, consisting of NOK 4.5 billion as a regular dividend and NOK 500 million as a special dividend. The regular dividend is equivalent to NOK 9 per share, up almost 3% from 2023. The special dividend is equivalent to NOK 1 per share. Private Norwegian general insurance customers, this once again bodes for distribution of a solid customer dividend from the foundation, Gjensidigestiftelsen. The regular dividend corresponds to a payout ratio of 88% for the group. The proposal requires approval from the FSA since the total amount including the special dividend exceeds 100% of net profit in Gjensidige Forsikring ASA. Based on the strong capital position for the group, we expect the application to be approved. Our solvency ratio is at a good level, enabling us to maintain our S&P A rating as well as providing us with sufficient financial flexibility. Our solid capital position also enables us to maintain a high and stable stream of regular dividends. Our dividend policy remains unchanged. We aim to pay a high and stable nominal dividends with a payout ratio of at least 8% over time. And over time, we will also pay out excess capital. A few words about property insurance on Page 5. Claims frequency was lower in the quarter reflecting more favorable weather condition and fewer fires. As we have mentioned earlier, claims frequency for property insurance is highly prone to quarterly volatility. Claims inflation has developed in line with our forecast, and we expect it to stay at the current level for the next 12 to 18 months. We monitor the situation closely and are prepared for changes, especially from currency movements and energy prices. We continue to increase prices and promote relevant initiatives regarding damage prevention to reflect the long-term impact of more frequent weather incidents. Average prices increased by 11% last year and we are currently increasing prices with more than 16% going forward. Having this in mind, it is particularly encouraging to see that our customers remain loyal to us and, we are -- we continue to attract more customers. So over to Page 6. A few words on motor insurance in Norway. Claims frequency was unchanged this quarter, reflecting more favorable driving conditions. If you try to adjust for these different driving conditions due to weather, we believe the underlying development was some 3% higher. Claims inflation has developed as expected, up 6% this quarter. Together with the shift towards more expensive type of losses, this resulted in lower underlying profitability for private motor in Norway. We expect claims frequency to remain high going forward. We forecast the increase in the repair cost to remain between 4% to 7% over the next 12 to 18 months, starting at the higher end of the range and gradually declining towards 4%. The claims mix varies depending on weather, driving behavior and the mix of types of cars in our portfolio. We have put through significant price increases, growing average premiums by more than 50% last year. We will increase prices further, currently with an average rate of 90%. I'm very encouraged to see that we are able to put through these significant and necessary price increases and that these measures are gradually improving profitability. Moving on to Page 7. The strong growth momentum in Private continued in the fourth quarter. It is very encouraging to see continued high retention in Norway and a further improvement in Denmark. We have put strong efforts into the transfer of best practice across borders. We have improved digital customer solutions, enhanced implementation of the new core IT system in Denmark and increased the use of advanced technology. These efforts, together with the pricing measures, resulted in 13% higher distribution efficiency in 2024. We will continue implementing measures to further improve this important parameter, aiming for 25% increase in 2026. I'm very pleased to see high profitability for Private Norway compared with the fourth quarter in 2023. Private Denmark showed lower profitability. We will continue to implement targeted measures to further improve profitability. Our Commercial segment continued to grow strongly. Retention remain high in Norway, while in Denmark retention declined due to pricing measures. We are very satisfied with the general renewals and portfolio development in Denmark and in Norway. Price increases are the main drivers for growth in Norway; in Denmark, the renewables reflecting pricing measures and good access to new business. Profitability for Commercial in Norway improved in the quarter; while in Denmark, it declined. We see the need to continue raising prices and have a strong focus on efficient operations. Our Swedish operations are progressing well with improved profitability, thanks to better risk selection and price increases as well as efficiency measures. The top line remain broadly unchanged reflecting lower volumes due to price increases. As mentioned before, we are prepared to sacrifice volume to achieve good profitability. We have recently concluded renewals of the largest part of our reinsurance programs. We are pleased with having renewed the capacity we required with unchanged retention levels. Reinsurance premiums constitute only around 2% of our premium income; and in the Renewable, we saw premium increases in general, reflecting our own increase in exposure without an increase in margin. Over to Page 8. I'm very happy to see our strong sustainability efforts through 2024 and the strong recognition on our progress in this field, as you can see on the slide. We are deeply engaged in damage prevention by supporting and promoting relevant initiatives and holding a close dialogue with key stakeholders. It is rewarding to see that our efforts are both creating customer satisfaction and business value while also supporting our strong sustainability ambitions. We are convinced that we can make a difference, being the largest insurance player in Norway. We are particularly encouraged by the result from applying sensor technology in homes and buildings, and we see great value in partnerships that can support us in sharing knowledge on climate risk with customers. The purpose is to motivate them to take appropriate measures to reduce the risk and extent of damage. With that, I will leave the word to Jostein to present the fourth quarter results in more detail.
Jostein Amdal: Thank you, Geir, and good morning, everybody. I will start on Page 10. As Geir mentioned, we delivered a profit before tax of NOK 1.605 billion in the fourth quarter. The insurance services result increased significantly to NOK 1.670 billion driven by continued strong top line growth and a lower loss ratio. A further decrease in the cost ratio also contributed to higher results. Private and Commercial in Norway as well as Sweden showed high results in the quarter. I'm very pleased to see the improvement of property insurance in Norway, although we bear in mind the inherent volatility in claims for this product. Motor insurance in Norway showed a higher profitability due to more benign weather conditions and reserve adjustments. The positive impact from the ongoing pricing measures is higher than the expected increase in claims, and this will gradually improve profitability as premiums are earned. The results in Private Denmark were negatively impacted by strengthening reserves from claims earlier in the year, but the results are not satisfactory even if we adjust for this. We'll continue with targeted measures to enhance the results, addressing both cost and loss ratios. Commercial Denmark also showed a low reinsurance result. The January renewals are encouraging, and we expect our ongoing pricing and efficiency measures to gradually improve results. The Pension segment showed good performance, although the reported pretax result was a loss of NOK 58 million as a result of higher interest rates during the quarter. The net result from our investment portfolios amounted to NOK 138 million in the quarter. We see good progress in our mobility services driving the improvement in the other items line in this quarter. The results from our Baltics business is recorded as discontinued operations, pending regulatory approval of the sale. The result reflects a significant improvement in the insurance result, but lower net investment income. We expect to close the transaction at the latest by the beginning of 2026. Turning on to Page 11. Our strong growth continued in the fourth quarter with the insurance revenues increasing by more than 11%. Growth in Private was driven by both Norway and Denmark. The increase in Norway reflects mainly price increases in all main product lines, while the Danish Private portfolio also had some volume growth both organically and from the acquisition of PenSam in 2023. Revenues for Commercial continued to rise significantly driven by both our Norwegian and Danish portfolios. Growth in Norway was primarily driven by price increases for all products, solid renewals and some volume growth. Premium accruals in the quarter also contributed to the increase. Growth in Denmark was driven by price increases for all main products and high volumes for some products. Revenues in Sweden increased. However, when adjusting for a premium correction, insurance revenue was broadly unchanged reflecting lower volumes as a result of ongoing pricing measures. As mentioned before, we are repricing to achieve satisfactory profitability and will accept negative volume development, if necessary. Now turning over to Page 12. The group's loss ratio improved by 8.2 percentage points this quarter, mainly reflecting improvement in the underlying frequency loss ratio. Adjusted for weather-related claims in Norway in the fourth quarter of 2023, the loss ratio improved by 7 percentage points driven by Private and Commercial in Norway and Sweden. Similarly, the underlying frequency loss ratio improved by 4.8 percentage points. The ongoing pricing measures will continue to improve profitability over time. However, bear in mind that implemented pricing measures take time to get fully reflected in the accounts, and that quarterly volatility in credit frequency and severity will impact results also in the future. Let's turn to Page 13. We have managed to bring our cost ratio further down to a very competitive level of 12.2%. The improvement of 0.4 percentage points was driven by Commercial in Norway, Private in Denmark and our Swedish operations. We have a cost level both in Q4 and for the year as a whole well below our targets, leaving us room to continue to invest further both to improve operational efficiency and solutions for our customers. Over to Slide 14 for comments on our Pension operations. The results are good, although based on IFRS 17 the pretax result was a loss. Adjusting for the change in the contractual service margin, the Pension business generated a pretax profit of NOK 37 million. The insurance result was positive and increased significantly reflecting the strengthening of provisions in 2023 and higher reinsurance income for occupational pension last year. The negative pretax result was driven by net finance income, which was negative due to higher interest rates in the quarter. Results for our unit-linked business continued to increase due to a larger customer base and higher assets under management. During the year, the number of occupational pension members rose by around 4% and assets under management grew by 26% to NOK 87 billion. Moving on to the investment portfolio on Page 15. Our investment portfolio generated positive returns for all asset classes in the quarter. The match portfolio, net of unwinding and the impact of changes in financial assumptions, returned around 10 basis points mainly reflecting lower credit spreads and the fact that the investments did not fully match the accounting-based technical operations. Our current fixed income exposure in the match portfolio has a credit spread of 40 basis points, equivalent to an annual return of NOK 150 million given the current size of the portfolio. The risk in our free portfolio was broadly unchanged compared with the end of the third quarter. We have a balanced portfolio and solid fixed income investment with a large majority having an investment-grade rating. The portfolio returned 40 basis points, reflecting positive returns from high running yields, lower credit spreads and positive equity markets. Higher interest rates had a negative impact on the results. We invested NOK 1.1 billion in 2 commercial properties in Oslo during the quarter. These are modern and energy-efficient office buildings, classified as BREEAM Excellent with high-quality tenants. These commercial properties are long-term investments and fit well in our investment portfolio. A few words on the latest development of our operational targets on Slide 16. Customer satisfaction is at a very high level, although it came slightly down this quarter mainly in Private Norway. We will continue to identify measures and take steps to maintain a strong customer offering and achieve a customer satisfaction index above 78 for the group. Retention in Norway remained high and stable. Retention outside Norway declined slightly, driven by Commercial in Denmark, Private in Denmark and Sweden. Private in Denmark and Sweden showed an improved retention. The improvement in the Digital distribution index reflects an increase in all components of the index, with digital sales showing the highest increase. As Geir mentioned, distribution efficiency in Private is progressing well. Digital claims increased during the quarter driven by Norway and Sweden. Automated claims also improved in the quarter. Over to Page 17. We have the solvency ratio of 185% at the end of the quarter, up 21 percentage points from Q3. Solvency II operating earnings and returns from the free portfolio contributed positively to eligible own funds. The proposed dividend less reductions earlier in the year reduced own funds. The Tier 2 loan we issued in October increased eligible funds by around NOK 250 million. The total issue amount was NOK 900 million. Eligibility of Tier 2 loans are restricted by the total capital requirement. We expect the remaining part of the loan to be fully eligible over time as growth drives the capital requirement. The capital requirement decreased by approximately NOK 1.2 billion, mainly reflecting the approval of the storm risk modeling, which we obtained from the FSA in November last year. I will now hand the word back to Geir.
Geir Holmgren: Thank you, Jostein. To sum up on Page 18. Our strong growth momentum is very encouraging and we are very pleased to see that our strong efforts have resulted in improved profitability in the fourth quarter for Norway in particular. 2024 was challenging in terms of elevated claims cost for motor and property insurance in Norway. We continue to implement targeted measures to further improve profitability for the group. We are confident to deliver on our targets for the next 2 years. We will continue to focus on profitable growth and further improve operational efficiency which, together with our strong product offering, should bode well for continued solid results and attractive returns. And finally, on Page 19. As mentioned, we have good progress with our cross-border initiatives. We announced a cost savings program for our claims processes back at our Capital Markets Day in 2023. We will be hosting a webinar on the 11th of March, where we will provide you with an update on the measures and results so far. We will send out a release with further details shortly, but in the meantime save this date. And with that, we will now open the Q&A session of this presentation. Thank you.
Operator: [Operator Instructions] We will take the first question from line, Johan Ström from Carnegie.
Johan Ström: So the Norwegian results are obviously very strong and probably caught most of us by surprise. I guess it's only natural to assume some improvements going forward given that this is a winter quarter. But how should we think about the near-term margins here? I mean, the combined ratio in Private and Commercial Norway was as low as 70% to 78% in Q4. And the profitability charts that you continue to show on motor and property on Page 5 and 6 clearly shows that margin could -- maybe should continue to expand. So I guess my question is really, was Q4 a very benign period? Or should we expect the combined ratio to improve also from here?
Jostein Amdal: It's -- I think we'll refer to the financial targets where we, for the whole year of 2024, delivered 86%, and we have a target of below 84% in '25 and below 82% in 2026, which is as far as we go in terms of speaking about the future results. As I mentioned in my comments, the pricing increases, we have talked about repeatedly in several quarters on especially motor and property, are starting to get solid traction. And we have raised the bar somewhat with the pricing measures we are implementing on. These are, of course, not fully earned in the accounts. And the really good thing for us is that we see that these pricing measures are implemented in the portfolio without any significant increase in churn. And that's a good visibility around that. And then, of course, there is volatility in the claims picture, which we must -- we just have to monitor going forward.
Operator: We will take the next question from line, Jan Erik from ABG.
Jan Gjerland: How many of your clients have still to receive the sort of the updated pricing for motor and property? Because I got about 20% from my insurance company, which was not you this time around. And I'm now looking for a new provider and see if there are any more better price there. So how many clients have still not seen the sort of the super high levels, which could sort of come to your retention level, which could then be a little softer than usual today.
Geir Holmgren: I think the main answer here, Jan Erik, is that all the price increases are distributed throughout the whole year. And especially in the private segment, of course, we do have renewals on an ongoing basis, not any period, which is particular. So it's a more equal distributor throughout the whole year. And as you know, we started with the price hikes 18 months ago. But the average premium increase for motor last year was about 10% and started more significant price increases. I think it was back in second, third quarter last year. So -- and the general answer is that it's equal distributed and it's -- you'll -- over 2 years period, you will have price hikes on average, probably about 30%.
Operator: We will take the next question from the line, Thomas Svendsen from SEB.
Thomas Svendsen: Yes. So if you look at the weather in Q4, there seem to be a low precipitation in the quarter, which seems to have continued into Q1 as well, which gives very little snow in the mountains. So could this be sort of a leading indicator for the risk of flooding later in the year, this low amount of snow?
Geir Holmgren: Well, we are still early in the year. It's still January. It could be still more snow and later on rain. It's too early to give that kind of indication, I would say. And if you look at the last 2 years, we haven't actually had a problem when it comes to floods in spring time. So -- but it can vary over the years.
Jostein Amdal: No, it's far too early.
Operator: We will take the next question from David Barma from Bank of America.
David Barma: Can I just come back on the guidance, please. So you're delivering close to 83 and whichever way we cut it on an underlying basis, undiscounted or not, you're around that level in Q4. And what you suggest at the front of the slide pack is your pricing, kind of double digits ahead of claims inflation and frequency seems to be heading the right way. So what makes you, I guess, more cautious on being able to beat your '25 guidance, which seems pretty clear at this stage based on all the data you've published today?
Jostein Amdal: I think as I said on the first question, and we are confident about reaching the whole year 2025 and 2026 targets on the combined ratio. But we're starting at 86% for the whole year of 2024. So we still need to be wary that there's quarterly volatility in the claims picture, both weather-related or otherwise, in Scandinavia and the rest of the world, I guess.
Operator: We will take the next question from the line, Håkon Astrup from DNB.
Håkon Astrup: My question will also be on motor in  Private motor in Norway. So you mentioned you are increasing prices there like 19% from January 1. Is your impression that you are, say, increasing pricing in line with peers? Or are you more aggressive on pricing?
Geir Holmgren: We don't have exact numbers of what our peers are doing. But we are pleased that we started early with all the repricing 18 months ago. We're repricing above the inflation. I think that was at the right time. And it could probably be 1 quarter earlier, but probably starting with the price hikes in Norway when it comes to motor. As a market leader, we are also responsible for doing that. That's my opinion. We are following this development closely. We see that our retention rates are still high. but that's more due to the total value proposition and customer dividend and high customer loyalty and brand recognition. So we see that the price has come through. And I don't have the impression that we are somewhat below all the price hikes you are seeing in the market. But difficult to give an exact answer on that.
Operator: We will take the next question from Emanuele Musio from Citi.
Emanuele Musio: I have a couple of questions. The first one is on inflation. And I was wondering whether you will be able to give an indication of the direction of travel of inflation in the quarter. And the second one is on solvency. It appears from the slides that you had an 18 percentage point benefit from other changes. You already flagged a NOK 1.3 billion reduction in SCR driven by the introduction of the partial internal model for the wind. I mean, it looks like 18 percentage point is higher than what I was expecting. If you can help me reconcile that, please.
Geir Holmgren: Okay. Thank you. Let's start with inflation. Last quarter, property Norway, 5% actual inflation. We expect inflation going forward, 4% to 6%. And as you know, when it comes to properties, like 25% material cost and 75% labor cost. And the labor costs are more fixed, to put it that way, and more stable. And we have more exact numbers, which we are -- also can give more precise forecast on longer terms. When it comes to motor, actual inflation last quarter, 6%. And we expect for the next 12 to 18 months, 4% to 7%, but closer to 7% in short term. Yes. On solvency, Jostein?
Jostein Amdal: Yes. The store model as such is the NOK 1.3 billion. And then, of course, after the end of Q3, we also took up a Tier 2 loan. So it's -- plus, of course, that results have been good in the fourth quarter, so it's a combination of all those things. If you look just at kind of what's generated through the business through operating Solvency II earnings and free portfolio, it's close to NOK 2 billion there. I think that's -- that, together with the storm model, are the main drivers.
Operator: We will take the next question from line, Alex Mackenzie from BNP Paribas.
Alexander Mackenzie: It's really just on the price increases in motor and Private Norway and in home as well. I guess I was quite surprised at the level. Do you think these are what are required to return yourself to where profitability typically is? Or just wondering if there's a chance that gets overshoot?
Geir Holmgren: If you look at our financial targets, we are aiming for below 82% when it comes to combined ratio in '26. I think -- and what we have seen in the last quarter, we have a very good revenue growth, which also is necessary to improve profitability and to meet the financial targets. Seeing that revenue growth, we are confident to meet the targets for the next 2 years, but it also leads to improving profitability from the situation we have seen last year.
Operator: [Operator Instructions] We will take the next question from my line Hans Rettedal from Danske Bank.
Hans Rettedal Christiansen: I was wondering if we could look at the Private Danish segment. I have a question regarding the Private Danish segment, specifically regarding the sort of over the past 3 to 4 quarters now it's been progressively becoming worse when it comes to the combined ratio. How do you sort of plan to fix that trend, especially when we also take into account the fact that your price increases are quite high, but it doesn't seem to sort of be improving the combined ratio in the same manner as we see in the Norwegian operations.
Geir Holmgren: Yes, I can start with your question and then Jostein will continue. We are not satisfied with the results in the Danish business. We have to improve the profitability. We see that both on risk selection and when it comes to cost efficiency, we have measures to improve the profitability. In the last quarter, we have some reserve strengthening and some other topics, which had an impact on combined for the Danish Private business. But I have to be clear on that. We are not satisfied and we are having measures to improve the profitability, both on the risk selection and on the cost side. Jostein?
Jostein Amdal: Right. If we look at the combined ratio excluding runoff for the quarter versus the whole year, I mean, I agree with your start of the question that there is some negative development during the year. The fourth quarter is slightly worse than the whole year. But there is also in the fourth quarter, some reserve strengthening. So I would describe it more as a flat development. Nevertheless, it should have been a positive development, of course, because we saw these problems coming into the quarter. So we need to step up on the pricing side and we need to also look at the whole business in terms of operational efficiency. .
Operator: We will take the next question from the line, Vinit Malhotra from Mediobanca.
Vinit Malhotra: Just 1 quick follow-up and then I'll come to my question. The -- we noticed the corporate center has a pretty large negative charge in the runoff slide. Is that the same thing that you just mentioned for Denmark. That's just my clarification point, really. The question is really around -- sorry, Private motor again. Just really 2 quick ones there. One is the 4.8 points of weather adjusted underlying loss ratio or frequency loss ratio, does that include adjustments for the good driving conditions when you say the weather? So that's my first question. And second thing is, in the claims inflation outlook for motor, are you not worried about spare parts and the salaries of labor because that's what's being flagged as issues by one of your peers yesterday morning.
Jostein Amdal: Yes. if you look at the corporate center first, what, in general, we do is take -- as we move large losses, about NOK 10 million -- sorry, about NOK 30 million to the corporate center, negative development on these specific cases will end up in the corporate center. So we've had large claims from earlier periods, earlier years that are developing negatively. That will hit the corporate center. I think that is the kind of the main explanation for that on the runoff in the corporate center. I think that was your specific question with it. Weather, we do see Q4 as a normal winter weather. It's hard to say -- be very precise on that. It's definitely much better than Q4 last year in terms of driving conditions. And as I see it kind of fairly normal driving conditions. And your last question is about like fear of claims inflation on spare parts and so on. Of course, these are -- 50% of the claims in motor are kind of related to materials. And of that 50%, a significant part is imported. So the Norwegian kroner development is absolutely relevant for that risk analysis. And of course, everything you can add to that of geopolitical risk in terms of supply chains and so on. But we don't have a specific risk, that right now, we have a fairly stable claims inflation picture as we see it. But I mean, of course, this could change.
Operator: We will take the next question from the line, Ulrik Zürcher from Nordea.
Ulrik Zürcher: So clearly, your retention ratio is super solid. But I was just wondering if you're seeing any trends of consumers starting to trade down on coverage given price hikes also only you, but in the market? Or are you observing any other behavioral changes when it comes to insurance coverage?
Geir Holmgren: No. We see that the top line growth is stable and as expected and high. We don't see any impacts coming from customers changing their insurance plan, reducing insurance sums or terminating contract. Our -- what we've seen before and what we see in the market especially in the Nordics is that people tend to keep their contracts and keep their insurance sums. So we also see that the top line growth is as expected and correlated to all the price increases we are doing at the moment. When it comes to retention, I could add, we see somewhat a higher, more frequent bid processes especially in the commercial market and the broker segments during the last quarter. That's usually something you see every year. But probably as we, and together with other -- our peers, are increasing prices at significant levels at the moment, there have been an increase in number of tender processes during the last few months. But as you see, the retention rates are still at a very high level, both in Private segment and Commercial segments for Gjensidige.
Operator: We will take the next question from line of Faizan Lakhani from HSBC.
Faizan Lakhani: I have two questions, if that's okay. The first one is on Private Norway. There's a comment in your pack suggesting that motor profitability would have deteriorated if you adjust the reserve strengthening you did last year. Could you maybe elaborate on what that would mean for the full Private Norway, say, well, not just motor? I assume is fairly significant given the fact that motor is 40% of your book there. Second question is on your Solvency II capital generation. So you said it's NOK 2 billion of operating capital generation when you adjust for free portfolio. Your net income under IFRS 17 is about NOK 1.6 billion. I know they're not on the same basis, but maybe if you could explain or bridge between the 2 of them.
Jostein Amdal: It's correct. As we said that since kind of the premium increases in motor has been gradually stepped up. Not -- there is some time before everything is earned in the profit and loss account. So there is premium increases that are in the portfolio, but not earned in accounts yet. And we are still not there where the loss ratio adjusted for everything kind of is improving. And that's why we are saying that we are increasing prices at 19%, higher than what we said at Q3. But Private Norway as a whole, due to beneficent development within property is positive even if you adjust for "everything." So there is an underlying improvement underlying everything. Solvency capital generation, as you stated from the slide. In those NOK 2 billion approximately, then there is also some -- due to the Solvency II regulations, some seasonal effects. Because your premium provisions are including future profit in a way. And also it's discounted at a higher interest rate at the end of the fourth quarter than the third quarter. So there is some positive effects there, which is more of a technical nature as related to how Solvency II capital works.
Operator: We will take the next question from line [indiscernible] from Pareto Securities.
Unknown Analyst: I just wondered if you could give us some more colors on the first January renewal in the Commercial portfolio in Norway. I understand that the exact figures are difficult, but in terms of what you saw of competition and retention levels compared to previous years. And please also confirm that these renewals are approximately 40% of the Commercial portfolio.
Geir Holmgren: Yes, yes. As I mentioned, the renewables in general for the Commercial segment in Norway, approximately 40%, somewhat a little bit higher in Denmark. As I mentioned earlier, we have seen during the last quarter more tender processes in the Commercial segment, especially on the brokerage side. And that's due to price increases. We are doing, and obviously all our peers are doing at the moment, but we are very pleased to see that our price increases are coming through, that retention rates are high and that we are having a successful renewals also in January this year. And the retention numbers are more or less the same as we have seen in the first quarter last year and the last years.
Operator: We have a follow-up question from line, Thomas Svendsen from SEB.
Thomas Svendsen: So you mentioned mobility services as improvement result driver. So could you give us an update on where we are today and where we are heading in terms of results there?
Jostein Amdal: It's an improvement, I mean, in the overall picture. We are still talking fairly -- a fairly small part of the overall profits from this. But we are very pleased to see how we managed to slightly kind of turn around the old Falck roadside assistance, no REDGO from an operational perspective, and that is actually working very well. So it's a real good old-fashioned operational improvements that we are seeing. So that's there. And going forward, this will continue. We've invested in kind of better administrative systems and so on. So that is boding -- laying the ground for further improvements in results as we move toward the next 2 years. We said that we have a target of NOK 100 million in 2026. I think, we are well on the way to reach that. .
Geir Holmgren: Yes. And in addition, you have the synergy effect having a positive impact on the Private segment when it comes to roadside assistance and so on and how we are doing the claims handling processes, which are not shown in the results in the mobility business, that's part of our claims expenses and costs in Private segment Norway. And in addition, the toll road and the leads generated from the toll road company is working very well. And it's a high-quality lease generation for the Private business in Norway.
Operator: We have another follow-up question from Alex Mackenzie from BNP Paribas.
Alexander Mackenzie: I was just wondering if we can have a bit more detail on the competitive environment in Denmark, I guess, just given the M&A in the sector last year and the opportunity you see there. Just noting that, I guess, I've mentioned earlier, we've seen some deteriorating profitability and increasing retention. Just are you confident in your ability to grow there and hit your DKK 750 million ISR target?
Geir Holmgren: I can probably start and you can continue, Jostein. If you look at our retention rates, we have improved retention rates for Private business and weaker retention rates for the Commercial segment. And that's also due to more tender processes also in the Commercial segment through the broker channel in Denmark. We are -- the growth we have seen in Denmark is a combination of price increases and volume growth. And we see that competitiveness in the landscape are stable, I would say, compared to the last quarters. But of course, when it comes to year-end, it tends to have more processes -- tender processes in the Commercial segment.
Jostein Amdal: Yes. In terms of reaching the DKK 750 million, that's still a target, which we are confident about reaching in line with the other financial targets we have set for 2026. Although results in Private Denmark were not satisfactory in 2024, we believe the trajectory is good. And with the measures we are taking, this should lead to the DKK 750 million in 2026.
Operator: Thank you. It appears no further questions at this time. I'll hand it back over to your host for closing remarks.
Mitra Negård: Thank you. Thank you, everyone, for good questions. We will be participating in road show meetings during the next few weeks starting with Oslo today. Please see our financial calendar on our website for more details. And with that, thank you for your attention, and have a nice day.